Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to today’s Total Second Quarter 2019 Results Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator instructions] I must advise you that this conference is being recorded today, Thursday, July 25, 2019. I would like to hand the call over to your speaker today, Patrick Pouyanné. Please go ahead.
Patrick Pouyanné: Good morning, everybody. I am pleased to join the call today. Not every quarter, but it’s a special occasion for last conference call by P2, and as well for the first conference call with Jean-Pierre as well, our new CFO who is joining to start the transition. In fact, his transition has been organized and planned for quite a number of years, Jean-Pierre having been Treasurer before becoming deputy CFO. It’s also I think the time is also right for us and for myself to comment on the acquisition of Anadarko’s African portfolio, as the merger between Oxy and Anadarko is planned for August 8. So format today will be as the following P2 and Jean-Pierre will present the results. And then, I will comment on the Anadarko deal and then we will go to the Q&A session. Just a few words as of introductions, since 2015 we have taken broad steps to move Total to become best-in-class energy company and the second quarter results contributes in most ways to this with resilience, and more importantly, for all our shareholders, cash flow growth plus 10% with the same level of production as previous quarter. The Anadarko assets will contribute to replenishing our resource base and clarify the outlook for the coming years. And the way forward is no clear to us until 2025 at least. And it will be the theme of our September strategy presentation. Moreover, the transaction, which is cash additive and cash accretive in dollars per barrel will allow us to continue to actively manage the portfolio. Let me be clear, it’s not a matter of volume growth for us, but it’s a matter of value creation for all our shareholders. This is why we will sell at least $5 billion of non-core assets over the 2019/2020 period to continue high-grading the asset base, which is consistent with our fundamental goal of keeping our discipline and balancing profitable growth and balance sheet strength with improving shareholder returns. I will come back on our objectives on this matter at the end of the call. So now, I turn the floor over to Patrick for the results.
Patrick de La Chevardière: Thank you. We reported, I would say, as usual, solid second quarter result that demonstrate the resilience of our portfolio and the benefit of our best-in-class production growth despite an adverse environment in terms of gas prices and refining margins. Adjusted net income was $2.9 billion or $1.05 per share, an increase of 5% quarter to quarter. Debt adjusted cash flow increased by 10% compared to the first quarter to $7.2 billion. Organic free cash flow was up by 13% in the second quarter to $3.7 billion, and up 9% year to date to $6.9 billion. The pre-dividend cash flow breakeven remains very low, at less than $25 per barrel. The second quarter environment was marked by continued volatility. Brent was at $60 per barrel in June, down from a high of $74 per barrel in April. And in July, it has been regaining strength with support from OPEC and geopolitical tensions. Natural gas prices, notably, NBP in Europe and spot LNG in Asia have fallen sharply in a move that we attribute mainly to mild weather in the face of ample supply. European refining margin went down in the second quarter, but have recovered in July. Then petrochemical margin have remained fairly stable quarter to quarter, but are weaker year-on-year. In this context, we are continuing to reduce cost and we are on track to increase production by more than 9% this year. Egina, Kaombo, Icthys, the major drivers for cash flow growth this year are online and ramping up. Culzean started in June and we expect Johan Sverdrup and Iara 1 to start by year end. Production is up by 9% year to date as anticipated. Looking forward, we sanctioned the second FPSO for Mero in Brazil in the second quarter. And at the start of the third quarter, we sold for $635 million of non-strategic North Sea assets that we acquired with Maersk Oil. So we are continuing to grow and to high grade the asset base. The E&P segment – and I remind you this E&P segment no longer includes the integrated gas activity – generated adjusted net operating income of $2 billion in the second quarter, a 17% increase compared to the first quarter. Higher liquid prices are much larger impact than the lower gas prices, mainly domestic gas prices in E&P. Production growth from startups was largely offset by maintenance in second quarter; notably in Nigeria, Norway and Canada. So volumes were basically flat quarter to quarter. Cash flow from operations before working capital increased to $4.9 billion, up 15% on the first quarter. I remind you that the new startups have higher DD&A. You can see this in the accounts. So there is more impact on cash flow than on the income itself. And the positive impact on the cash flow is very accretive in dollars per barrel. Turning to iGRP segment, this cash flow effects on new start-ups is more evident. Cash flow from operations before working cap increased to $0.9 billion, up 77% quarter-to-quarter thanks mainly to the ramp-up of Yamal LNG in Russia and Ichthys in Australia. So these massive projects are starting to deliver the gas. Adjusted net operating income in the second quarter was $0.4 billion compared to $0.6 billion in the first quarter, reflecting mainly the lower gas prices as well as the higher DD&A. Taking into account the addition of the Engie LNG portfolio and the strong ramp-ups compared to a year-ago production increased by 63% and LNG sales have more than double. iGRP is our fastest growing segment. During the second quarter of the first train at Cameron LNG started, and there are two more coming. In addition, we agree to takeover of Toshiba LNG portfolio, which came with a payment to us for $800 million, find long-term sales agreement with Guanghui in China and, of course, agree to buy the Anadarko assets, which includes Mozambique LNG. iGRP non-integrated gas activity mainly renewable and batteries, where also profitable in the second quarter. Total solar started up its second solar farm in Japan in June. And we are building a foundation for the future of the company across the energy spectrum and iGRP is at the center of this effort. Before I turn the floor over to Jean-Pierre, I would like to say that I have enjoyed it, and I am still enjoying my interaction with the financial community with all of you. And I thank you for that. Jean-Pierre, this floor is for you.
Jean-Pierre Gerard Claude Sbraire: Thank you, Patrick. So let’s move to the Refining & Chemicals segment performance. So for this segment, adjusted net operating income was $0.7 billion in the second quarter that means the decrease of 5% compared to the first quarter. European refining margins were down 16% quarter-to-quarter. Operationally, our refinery in Germany, the Leuna refinery had to reduce throughputs due to contaminated crude from Russia. There was a shutdown at the Grandpuit refinery in France, and some normal scheduled maintenance as well. As a result, refinery throughputs sale quarter-to-quarter by 14% and capacity utilization decreased to 77% from 89%. Now Leuna and Grandpuit are back to normal. Despite the lower margins and lower throughputs, R&C generated $0.8 billion of cash flow from operations before working capital in the second quarter. First half cash flow was stable compared to last year at $1.9 billion. From Marketing & Services, adjusted net operating income was $0.4 billion, an increase of 23% quarter-to-quarter. Cash flow from ops before working capital for M&S was $0.6 billion in the second quarter and $1.2 billion for the first half, representing an increase of 12% year-to-year. So now for the combined Downstream, I mean, R&C plus M&S, cash flow from ops before working cap was $3.1 billion in the first half, an increase of 3% compared to last year, and ROACE was 24%. I will turn now to the group results, so at the level of the group debt-adjusted cash flow was $13.7 billion in the first half, a 10% increase compared to last year, as P2 already commented, this is a result of strong production growth more than offsetting lower hydrocarbon prices and lower refining margins. So we are on track to grow cash flow progressively year-over-year as our new projects continue to ramp-up. A few comments on gearing, so at the end of the first half, the gearing was at 20.6%, obviously, there was a slight increase from the first quarter, and we are a little above the guidance of 20%. But I’d like to remind you three elements. So first one is that we make two dividend payments in the second quarter, and in the third quarter non-payment will be done, and so we are clear the situation and in the future from the Q4, we’ll have one payment per quarter. The second element, of course, as you probably noticed in the increase of the working capital. We have an increase of $0.3 billion in this quarter, and we’re working to reduce with this working capital in the future. And the third element, of course, the implementation of the IFRS 16 that has a negative impact on the gearing at 2.7%. Buyback were $0.4 billion in the second quarter or $0.76 billion year-to-year, in line with our targets of $1.5 billion at $0.60 per barrel over this year. Net investments were $6.5 billion for first half, in line with last year. Finally, in terms of profitability for the past 12 months, the group ROE was above 11% and the ROACE was above 10%. So now I turn it back to Patrick, P1.
Patrick Pouyanné: Thank you, Jean-Pierre and thank you, Patrick. So I wanted to come back, as we announced it, and give you an introduction on the deal with Occi that we signed in May, regarding the Anadarko, African assets. Basically at that time, which was in fact when we announced it in the beginning of May, it was an option as we did not know what would be the outcome of the Anadarko battle. We did not comment on it, until now, because this option is obviously subject to the completion of the merger between Occidental and Anadarko. And – but even if it’s not yet completed as the Anadarko AGM is announced for August 8, I took the opportunity of this call to comment this transaction today. Similar to the Maersk and Engie deal, thanks to GDP, we manage to create an opportunity, which obviously was not very obvious at beginning and so it came early as a surprise, but this opportunity if it’s exactly with our strategy by playing to our strengths. I really would like to insist on this point, it is because we are clear about the strategy in oil and gas, which is playing to the strength primarily, but together with our Board of Directors, we could act very quickly to have access to these high-quality assets. We see these African assets of Anadarko are really a portfolio – a world-class portfolio of assets in our African stronghold. And we have accessed them at a very attractive price, more than 3 billion barrels of resources for less than $60 per barrel; 100,000 barrel per day of current production increasing to 160,000 barrel per day by early 2025. Free cash flow positive from the day one including the Mozambique CapEx; and free cash flow growing to more than $1 billion per year from 2025 with Brent at $60 and next to $1.5 billion of free cash flow at $60 per barrel for Brent. Strategically the Anadarko assets essentially light the way to better navigate to coming years. Sequentially, Mozambique Area 1 LNG, for where we will become operator with 26.5%. This project is derisked, with the FID, which have been taken in June for the first two trains at the competitive cost of $850 per ton. And we represent 12.8 billion ton per year of LNG production, but it’s already sold on the long-term contract for 19% of the volume. We know and we respect the Anadarko team, project team, and we have confidence in them. And as per our purchase agreement, Occidental is taking actions in order to retain the team at our request. The first two trains developed less than one-third of the available resource, which are estimating globally at more than 60 Tcf this year. So Mozambique LNG will provide us high return Brownfield expansion opportunities into the future. And last but not least, it comes and complement with our LNG portfolio. Total is now the second largest player in this fast growing LNG market. And adding this giant resource in East Africa will obviously create significant portfolio synergies for us. Regarding the Mozambique valuation, I’d like to raise your attention on two figures. We’ll pay around $150 million per percentage of working interest for these assets, a little around $4 billion for 26.5%, so $150 million and for these assets and resource and we buy them right at the time when the sanction is taking place so it’s derisked for the first trains. The Exxon ENI transaction in 2016 was at $110 million per working interest but still some work to be done before sanction which has not yet taken. On Area 1 or license, all transactions, which took place between 2012 and 2014 PTTEP/Cove Energy, ONGC, [Videocon] [ph] ONGC Anadarko took place between $200 million and $216 million per work percentage of working interest so to be compared to 2012 and 2014 to be compared to a price value of 115. So, I definitely strongly argue that this transaction is done at attractive conditions and well in line with what we described as a countercyclical strategy that we put in place when we acquired Maersk Oil company. We know that there is a WoodMac paper, but it values only the first two trains and anyone who is using this loan is grossly undervaluing this one-of-a-kind assets. Again to be clear which is the operatorship of giant LNG project that is already under development with first two trains sold under long-term contract and most of the resource yet to be developed in the future. This asset is really unique and fits perfectly with our strategy of clear set and our asset base. The Anadarko portfolio in Africa also includes 20 producing assets in Nigeria specifically whereas operatorship and additional 24.5% interest is blocked in the Berkine basin where we are already present, we were 12.5 interest after the Maersk Oil acquisition so we can anticipate some efficiency gains there. And these blocks are currently producing more than 300,000 barrels per day. In addition, the acquisition expands our presence in offshore West Africa with deepwater fields in Ghana notably 27% of Jubilee and 19% of TEN that are currently producing more than 140,000 barrels per day and we’ll continue to ramp up in the years ahead, which is an area where all traders in particular can add some value. For these two assets, we will pay the $60 per barrel value, which is fair and attractive. Finally, we’ll get also some exploration license in Southern Africa near our recent Brulpadda discovery. May I add that beyond the assets revenues, we are expecting additional profits from the trading business, which will be developed around them either for LNG or for oil trading. We intend to take some LNG from Mozambique Energy projects which will complement our worldwide LNG portfolio with a location in the Indian Ocean, well located to serve customers in India, where we are currently developing a position the Adani Group and in Southeast Asia. Our oil trading arm which is a largest trader of African oil will also benefit of having access to Ghana oil from its arbitrage capacity and for developing relationship with GNPC, the Ghana National Company. Another important point that I also mentioned is that this portfolio, when we consider the portfolio of risk free assets, it will be – portfolio will be additive to cash flow and accretive to cash flow per barrel. So cash flow coming from Algeria and Ghana producing assets will move and cover the CapEx required by the Mozambique Project so breakeven is less than $40 per barrel. We’re generating around $300 million of free cash flow between 2020, 2023 at $50 per barrel and then it will increase to $1 billion at $50 and next to $1.5 billion at $60 per barrel when the two trains of Mozambique Energy will be on stream. As I said the acquisition like the others we’ve done plays recently – plays to our strengths, it’s Africa deepwater LNG and fits to a strategy to continue aggregating the asset base and to reduce our breakeven. It gives clarity on our 2020-2025 profile. The Anadarko assets will increase our QP reserves lives to well above 20 years, which we consider is more than enough. So if it’s ensures reserve replacement and provides flexibility for active portfolio management. Once again, our priority is not volume growth but value growth. So we will take benefit from this growing production coming from Anadarko assets 100,000 barrels per day growing to 160,000 barrels per day to sell some noncore and higher break even assets in order to focus our teams on the most profitable assets of our portfolio and also to continue to lower our global break even to be more and more resilient. Phase 1 we announced that we’ll divest at least $5 billion of assets with a majority more than $3 billion coming from Upstream on this period – on the period 2019-2020. It is part of the necessary discipline linked to our capacity of being agile to seize opportunities. We have demonstrated since 2015 our discipline on costs. We have today the lower OpEx per barrel among the majors, $5.5 per barrel and on profitability, the better return on capital employed while at the same time we have been able to grow by taking countercyclical opportunities. While most of our peers concentrated their CapEx spendings on U.S. share, we are looking to the rest of the world and have been first to move in Brazil on Maersk Oil in Libya on NG portfolio and on Anadarko African assets but always in the disciplined framework we set to ourselves. When we will close, we close this deal in the coming months, it might be possible that some of the assets could be closed in 2019 as we agreed that we could close the assets in a staged manner according to the values approval process by the different countries, our gearing will increase temporarily by 4% and rise to 20% to 23% at $60 per barrel. And consistent with our guidance that I reaffirmed today another 20%, we register that and the rest of our balance sheet strengths, firstly, because we are continuing to deliver strong cash flow growth as this quarter demonstrate and there is more to come for the next specific quarters in 2019 up 10% year-to-date and this acquisition will again be additive to our cash flow. And second, because we also confirmed at the same time, it’s why we can confirm at the same time, our 2018-2020 shareholder return policy is not affected by the acquisition including the 10% dividend increase we announced in February 18 and the $5 billion share buyback Brent at $60 per barrel but we are clearly implementing and delivering quarter-after-quarter. We’ll go into more details obviously about allocating future cash flow growth at our investor day in September. On investments, some comments on investments. You should not expect significant changes going forward largely because even as we grow the portfolio, the organic CapEx is more efficient and we do more for less. Since the start of 2015 we have sold more than $16 billion of assets so we have demonstrated our capacity to execute our sales program in a disciplined manner and our commitment and we’ll continue to execute it in the same way with our new program for 2019-2020. We recently announced that we sold some mature North Sea assets earlier this month and so the aggregating will continue. Net acquisitions on average over the years have been and will be continued to be managed at a discipline level consistent with our goal to combine profitable growth in targeted markets with a strong balance sheet and competitive shareholder returns. We intend to confirm in September our guidance for CapEx investments, which means organic CapEx plus acquisitions minus sales. For the period 2019-2023, we should confirm $16-$18 billion as a guidance, range of guidance over this period and obviously including the Anadarko acquisition on the combined next two years 2019-2020, it will be closer to the high end of this range. Total is best-in-class among the majors in large part because we are much faster to recognize and capture some M&A opportunities. These have been key to lowering the breakeven, improving our resilience fueling profitable growth. Even the fundamental nature of our industry is the deflation, we believe that sustainable shareholder value is accretive because of long-term by making discipline investments, not by avoiding that. The Anadarko assets are mainly gas LNG and we believe the transition to gas for power generation particularly with LNG so with acquisitions it’s also to take us further into the future. As a conclusion, I will say that we clearly consider but this is a very compelling opportunity to high-grade the asset base with unique world-class portfolio of assets. And we are confident that the value creation will be evident to all our shareholders in the years ahead like it is with Maersk Oil and Engie. We’ll come back on that in September. So now, we are ready I think to start the Q&A.
Operator: Thank you. [Operator Instructions] The line of Irene Himona from Société Générale is now open.
Irene Himona: Thank you. Good afternoon. And thank you very much, Patrick, for your support over the past decade and all the best in the future. I had two quick questions. So firstly on tax, group tax this quarter was particularly low. But then, there are different moving parts in there. So the tax rate in Marketing & Services in particular is quite high this quarter. And then, you continue to have tax credits in Corporate. I wonder if you can give us a sense of any unusual tax items this quarter and what should we anticipate for the rest of the year. And my question, you had mentioned before, I believe possibly at the Q1 stage, that you would give us some sensitivity to natural gas prices. I wonder if that is something you are able to do today perhaps. Thank you.
Patrick de La Chevardière: Q, Irene, as usual, I have a question about taxes with you, so we were prepared to answer that question. Actually, tax rate was quite low this quarter, you were right. It is not only the fact that oil prices were lower than previous quarter, which is part of the answer. But this is not only that. In the E&P, we benefit from the Kaombo Sul startup, with large uplift mechanism, if you remember those mechanism in that country. In Downstream, we benefit also from $50 million capital gain on Wepec sale with no tax. But on top of that, June is the time for us to reconcile our tax estimate made end of the year. And the actual number that we have by end of June. And then, in the Downstream sector, we offload one provision that we add on the Downstream, provision on taxes, which was put in place previously. That’s my answer on taxes. Sensitivity to gas price, that’s a difficult question. 100% of our production, oil plus gas, 75% of it is linked to the oil price. So let’s have a look to the 50% production coming from gas. Then you have on this 50%, 50% of its oil-linked; 20%, 25% of it linked to the spot prices, NBP in the UK and in Continental Europe; you have about 20% of prices linked to domestic prices that you have for instance in Thailand, in Burma, in the UK or in Norway – no, no, no, it’s not in the UK – in Argentina, sorry. And thus basically, as the remaining part is 5% to 10% on Henry Hub. So even if I’m not fully able to answer your question, with those exposure to the different type of gas prices I think you could see what could be our sensitivity.
Irene Himona: Sure, thank you very much. It’s very helpful.
Operator: The line of Oswald Clint from Bernstein is now open.
Oswald Clint: Hi, good afternoon. Thank you. Patrick, thanks for all the comments on Mozambique. I just wanted to ask around Mozambique was kind of what your thoughts were about actually delaying the – or actually, you seemed, if you could retender and perhaps get a cheaper construction cost for that plant. Or if that wasn’t possible your thoughts around sharing some of the onshore work with the Exxon/ENI project as well. If you could just discuss that side of it, is that something that could happen, at least from a sharing perspective after the FID of the other projects? And then just linked to Mozambique, you kind of gave the throwaway comment about South Africa. And I just wonder was that a throwaway comment or is this something interesting really about this deal? Have your geologists looked into the Anadarko block and see some type of extension of the success you’ve had in your own block in South Africa? That’s my first question. And then, secondly, maybe one for the Chief Financial Officers. Just looking at your Gas Renewables & Power business, and just starting to look at the unit cash flow margins, kind of cash flow per ton that you’re starting to generate here, as you split this business out. And you’re making around $100 a ton this quarter. And I’m assuming there is not very much for Renewables or Power just yet. But as I think about Cameron and Toshiba and Tellurian coming in, which is difficult for us to model, but also Yamal kicking on to oil-linked contracts over time, just trying to think about the accretion or dilution of that number, should we think about this $100 a ton as a sustainable number? Do some of these North American contracts coming in perhaps dilute that number? Or are some of your oil-linked contracts coming in and kind of stays about that number? That’s – I’m just trying to get a sense of what happens to that unit margin. Thank you.
Patrick Pouyanné: Okay. For Mozambique first, let me be clear, our intent and this is one of the interests of this project. It has been derisked, it was sanctioned. Contract has been awarded to Saipem and – mainly. And we are fine with the way that the project has been engineering, designs. The teams of Anadarko, which is managing the project is a team which builds for BG in the past most of them, the Queensland project. And it was done good condition. So we do not intend at all to return to anything that we want to move forward, which was the people, of course, which was the job, which has been done properly. So that’s the first point on the project for itself. And it’s important in terms of value creation. We don’t want to derail. We don’t come there to put an over delay of the project. The second point on – on the same time, yes, we understand and I had already an exchange of views with Darren from Exxon. I think there are probably things to be done onshore, as a way of our shared facilities onshore according to some agreements. And we have an experience to potentially discuss and share facilities like in PNG with Exxon. So I’m very open to, but as I said to Darren Woods, if it’s matter of efficiency Total is always there to discuss about efficiency. It’s not a matter of ego. If we can operate the train, we’ll see. But if we can be efficient together, I think we have joint into this obviously. It’s a long term story. It’s a form of – I think there is more, another 20 Tcf, 60 Tcf per area. So we are speaking of something for the long-term. So it would be good like we have done it in the past in Total to be smart to give us. I’m very open to that. But of course, without derailing the first two trains, which will be built according to Anadarko plans. But there it is of second point. And on South Africa, I mean, let me be clear, it was not that the – as a core asset, we buy the portfolio. I can tell you; we spent some time on Mozambique. We spent some time at the area. We have the data. We understood the Ghana story. South Africa was part of it, obviously. And they also wanted to sell the whole portfolio, we took it. But in the meantime, we have – we have the good. We have access to some data. We also had the good news, because Shell joined this license. So it means that it has some interest. It’s not that – it’s in the clear vicinity from Brulpadda. So it is exactly the same thematic. So it’s exploration quite at early stage. But – and honestly, it’s – I will say, it’s an add-on in the acquisition. It did not impact the price of the acquisition per itself. But having said that, I can just give you an information. We will go ahead a new prospect in this license next to Brulpadda next year. So we are not operating the first one. But going to find that – try to find more gas in vicinity in Brulpadda discovery to try to know how much we have in this license. So for your question, so the dollar per ton, in the middle of something moving – I think I would answer, but it will be better tomorrow, always better. But I will give the floor to my financial – my two CFO, so P2 is ready to answer.
Patrick de La Chevardière: Well, partially actually, because I’m quite tired, this is my last call. Two elements on iGRP. First, Ichthys and Yamal are cash accretive, and the volume is going up. We are ramping up those projects, this increase the cash flow. On the other side, very well, quite high DD&A, because we just start-up the assets, and the effect of the lower gas prices are the negative effect on the net operating income coming from iGRP. But you have to know that our low-carbon electricity business is profitable, is making around $150 million in this quarter. That’s basically the information I can give you, I know this is not sufficient, but I’m sure, Jean-Pierre will be able to answer in more detail in September.
Jean-Pierre Gerard Claude Sbraire: Yeah. Just to come to that, obviously, iGRP. I think, you have more granularity on LNG. Remember in February, we gave you more detail. We will come back on it. It’s becoming a very important part of the business portfolio of the production and we are doubling the volume. So we will reach next year 20 million tons and more to come in reaching by 2025 will be around 50 million tons in our portfolio. So I understand why you asked the question. Remember what we told you, I think, it was February or September, but we target of free cash flow by – CFFO by 2020 of around $4 billion in that segment. And like, Patrick said, Yamal, we started Yamal early, but the early volumes were going on the spot markets in Europe. Now since this quarter, we have activated the long-term contracts, which are oil-related contract, so it’s much better. So you will have good news from this point of view in terms of cash flow. I will not add on the comments on that result.
Oswald Clint: Okay. Fantastic. Thank you.
Operator: The line of Thomas Adolff from Credit Suisse is open.
Thomas Adolff: Good afternoon. Few questions for me, please. Firstly, correct me if I’m wrong. I believe your investment criteria is a minimum of 15% IRR at $60 per barrel Brent. And I wondered, whether the African deal actually meets these criteria, whether you will also be subject to capital gains tax in Mozambique? And secondly, you have so many LNG projects in your hopper, I don’t even know where to begin. Maybe I want to comment, how large the player you are likely to be by 2030. And then finally, you’ve mentioned improving shareholder returns specific on the $1.5 billion buybacks you’re doing. Do you think that’s sufficiently attractive, in fact, if you look at the overall distribution policy? Do you think that’s sufficiently competitive, especially, as you look out to 2021 plus? Thank you.
Patrick Pouyanné: Okay, Thomas. First, that for – we used the strong criteria for LNG projects. We don’t use the IRR. We use enrichments mostly, because there are very long-term projects, and we look to as the level of enrichments in capital rather than the IRRs as a way. LNG project is 16% return, I don’t think there are many projects like that, because it’s very capital intensive upfront. But value accretion is on the duration, because you have long plateau. That’s was the first point. The capital gain tax, let’s be clear, most of the capital gain tax will be carried by Occidental according to the purchase agreement we’ve signed with them. Secondly, on LNG project, yes, we have a large portfolio that’s clear. But this is the only segment of the hydrocarbon industry, which is really going quickly 10% in the last three years, everybody’s planning at least 5% in coming years. I think, your large portfolio allows us as well to be, I would say, more patient on some projects, when we have to negotiate. We know about sometimes, these are very large project, but in different countries you could have sometimes to be patient in order to change the order to obtain the right condition. But generally the execution of the projects could face some scheduling compared to the ideal time table. So I think, it’s better to have more opportunities in this growing segment, but not having enough. And we can potentially arbitrate if some of them do not fit with our return threshold that we have in mind. Then, on shareholder returns, it’s not only a matter of buyback, when I’m refusing to shareholder returns, we look to dividend first and plus the shareholder buyback, and that’s true and that we were – we have in February 18, the Board of Directors have reviewed all our policy have decided that we need clearly to be more competitive and growing our returns from something which was mainly 30%, I think of free cash flow to more or targeting more 40%. So – and to do that, we used two tools, one is growing the dividend. And according to my discussions with my and your investors, they love the growing dividend first. It’s my first priority each time I’m asking the question. So we do it. We do it regularly. You all know that we never decreased the dividend in Total for 30 years. It’s in the DNA of the company, and I repeat that. And so we will continue to grow it beyond 2020 even though we gave the sort of good guideline by giving three years in advance the increase. But obviously, we will continue beyond it, because our cash flows will grow, and the deal of Anadarko will help us even to grow. So it’s a good news for our shareholders, when I announcing, but the only deal of Anadarko will give more than $1 billion, $60 per barrel, the additional cash flow by 2025, and $1.5 billion, $60, when not keep this cash flow just as part of it would be return to our shareholders, so first dividend then the buyback. We used the buyback in order to share with our shareholders with additional revenues where we get beyond $60 per barrel. Last year, we’ve done $1.5 billion buybacks instead of the $1 billion announced, because the price was higher, the average price for the year. This year, we are not far from being at $60, because of gas price is lower than the liquid price. And so we have executed since the beginning of the year with the program, and we monitor that quarter-by-quarter. And my commitment is obviously I describe, I think, it’s a full shareholder return policy with these comments. And we’ll execute the program. And then beyond it, it’s a decision which will be taken with Board of Directors. But again, dividend growth first, and global retail targeting something in the range of – something around 40% you can keep that as a guideline.
Thomas Adolff: Okay. Thank you.
Operator: The line of Lydia Rainforth from Barclays is open.
Lydia Rainforth: Thank you, and good afternoon to all of you. I have two questions if I could. Firstly, on the $5 billion divestment program. How are you looking at what the criteria of those assets will be which is what you’re looking to sell? And then secondly, can I just follow-up on that the CapEx number, where you touched about that being $16 billion to $18 billion. Is that simply a reflection of the net acquisition or have the organic number, you were looking at slightly different organic number to what would have been without the Anadarko assets? Thanks.
Patrick Pouyanné: No. I will not tell you what is the list of assets. Sorry for that. Just because that’s never been the policy. The criteria are clearly as I mentioned in my speech either noncore. We have one of the characteristics of the E&P portfolio of Total, we have quite – people in the number of countries, sometimes for small production. And so it absorbs some human resources, and one of our objectives with Arnaud Breuillac, President of E&P is still, he’s trying to refocus on maybe less country. So if we can exit some few countries, we have a list of countries, small countries in terms of, I would say, revenues and production, where it will depart. And the second criteria is high breakeven assets the one like we’ve done in the mature fields in North Sea. We have sold a little production. Again, I’m not afraid at all to sell some production. We have some margin, it’s not at all volume driven. So these are the two main criteria. And then in the Downstream, we will continue to sell all this infrastructure, P2, we were thinking in 2016, we have a list, but we are discovering some piece of pipeline, piece of infrastructure, which frankly we do not need to own. We need have the rights of transportation of oil and gas, and liquids. So we have still some these type of assets. And there is last field, that you can – but I can mention, which is important in our policy regarding renewable. It’s clear. We describe it begin, so we described to you in February of the business model about renewables, which is a business where we invest in some assets. We took the risk of completion of the COD, and then we’ll divest at least 50% of it, because they are considered by infrastructure front, and at the end we will keep 50%. So we begin to have quite an interesting pipeline of this type of projects, we have the various subsidiaries are working. And so we will be in position also to divest part of its renewable assets in the coming in this year since from 2019, it will begin. Then Lydia, sorry, we joke together. But sometimes, I have difficulty to understand your English. But I think today, you understand. I really understand, this is very difficult to understand the English of a French man. So I will repeat what I told just before very clearly and loudly about CapEx. What I said during my speech, I was speaking about CapEx investments, which means organic CapEx plus acquisitions minus sales. So it’s organic CapEx plus net acquisitions minus sales, to be clear. This, I guided you, but we should confirm in September also consider that I should then maybe something would happen between today and September, but it’s because we are taking sometime, but those things will happen, to be clear, I’m going for early days, like P2, those things will happen. So we should confirm $16 billion to $18 billion for this aggregate. One the period 2019 to 2023, this is what I told you. And I added that for the combined two years, 2019, 2020 including the Anadarko acquisitions. We will be closer to the high-end of this range $16 billion to $18 billion. I hope, I have been better in English to now than before.
Lydia Rainforth: I understand. Thank you very much.
Operator: The line of Christyan Malek from JP Morgan is open.
Christyan Malek: Hi, good afternoon, gentlemen. Thanks for taking my questions. First of all, just on for the cash margin dilution of the new projects including Kaombo and Egina. How they compared to previously sanctioned projects in West Africa? And we’ve talked a bit here, your average cash flow about portfolio basis is still within the sort of mid-to-high 20s. Would you say, these projects are falling in that range or higher? The second question, I just want to come back to, Patrick, you commented the priorities, not volume growth but value growth. The first is just that you’re about to step away from the volume target altogether. And if so, is there a case to make now that you can made the deal with Anadarko. You can potentially prioritize your capital framework around cash return over balance sheet and CapEx? And finally, linked to that last question. I understand the targets of increased returns would stay 40% of free cash flow. I want to think about your yield in the context of divisional buyback of market cap. You still see within sort of the mid-range of the group and not necessarily for the top-end. So how do you think about in that context?
Patrick Pouyanné: It was the cash margin, evolution on some projects, if I understand. Kaombo and Egina, I think, on these projects, like, Kaombo and Egina, which are projects on which we have invested a lot and it’s in our PSE. Clearly, we are very accretive in terms of cash margin to our portfolio, it’s above $40 per barrel for this type of projects, because we have to recoup of the cost plus we have the additional profit. So it’s clearly cash equity in terms of $1 per barrel to our portfolio and we will benefit off it, and so it’s part of the explanation, why we’re growing without all the cash flow growing period. Sorry, I said, more than 40, because I don’t have all the details, somebody is just telling me is more 45 to 50. So it’s even more than that. The second question is about value over volume. I think the fact that I just explain to you that we’re already – we are – we will – on the one side, we’re requiring what we consider as good barrels with the African portfolio of Anadarko, and which will be accretive to cash flow per barrel. But it’s not a matter of volume and sale, I mean, we don’t – I don’t want to put an objective of volumes of production. We are ready to divest some productions, and it give some – they said, we have reserves – 2P reserves, which will be largely over 20 years. So we think that we have – it’s given us some space in order to divest part of the asset. And what we are targeting and I gave just before what are the key criteria. So then about shareholder returns, I give you it was – I gave you last year, we returned 38% of CFFO to our shareholders. I think it was a very comparable to most of our competitors. We have yield and even in the high range of the competitors in terms of global returns. So I think we have – on this perspective, we have a competitive policy in terms of return to shareholders. Alliance is around 5.5%, I think, today, and I think it’s already quite high. We are in the world with cost of money is much lower today. And so I think that, we have a competitive return policy to shareholders. We intend to maintain it. As our cash flows will continue to grow, obviously, the shares in terms – absolute terms will continue to grow as well. And so in absolute terms, the returns of shareholders will continue to grow. This is what I can tell you. P2 maybe you want to add something.
Patrick de La Chevardière: Yeah. I’d like to tell you, Christyan, that I don’t share the same figures than you, because we do benchmark, our cash return in comparison to our competitor, the Shell, BP, Chevron, and Exxon. And we did not set the 40% target on nowhere. It is a competitive shareholder return in comparison to what is made by our competitor. So maybe we should talk together to reconcile our figures.
Christyan Malek: Thank you.
Operator: The line of Alastair Syme from Citi is open.
Alastair Syme: Hi, thank you. Patrick, I wonder if you could just update us on the situations in Uganda and Papua New Guinea. I think, you made it a priority to move these assets for the sea. So I just want to understand, what the situation is in each country as it stands today. And then maybe if you could also secondly just comment around the LNG market. We’ve obviously seen a big move in pricing over the winter. So what do you think that’s telling you about the state of the market? And are your customers saying anything on the fact that their contract pricing is essentially above where spot prices are today? Thank you.
Patrick Pouyanné: Okay. No. These two projects are – as you know PNG, we signed a gas agreement with government and PNG in the beginning of May. I was there. In the meantime, there has been a change of government. From my point of view, I think that these types of agreements are signed with a country. So we expect the new government to respect it. Then various news in newspapers, but we are confident. But it is the best interest of PNG to respect the agreement which have been signed in order to move forward with the project. It’s like you have seen, there are many projects, energy projects around the world. We have also many projects in our portfolio, one more with Mozambique. And obviously, we have to – I think, everybody has to consider the global planning of the LNG industry in order to move forward with various projects around the world. On Uganda, I think, as you know, it has been a long – we spend a lot of time there. It’s not an easy project, it’s a project which cross – is crossing borders. We have a pipeline with Uganda and Tanzania as we have to put in place, if we like anyone to launch a project, a number of agreements in particular. And strong, I’d say, legal agreements in order to be sure, but we don’t want to invest Upstream, if we’re not sure to have the pipeline bringing the oil Downstream to the sea. So the situation has been that we kind of changed the geography. But Uganda is the country, which is not connecting to, I mean, which is landlocked. So we need to be sure, but if we want to final the projects to have all these agreements being ready at the same time, so it’s a lot of work. We are working on it, and we need to support of both all government, and we are spending a lot of time on it. So the target is to sanctioned the project this year. I hope, we will reach it. Then LNG market, it’s a market, which is moving. Two or three years ago, everybody was convinced there will be too much LNG. So everybody was pessimistic. Last year, the price went up, and so when we’ve seen an influence on the long-term plan contracts. I think, it’s the best answer we can bring onto that is our strategy to have a large portfolio. In our portfolio, most of the contracts are all related still. And of course, we’ve seen an influence on what is happening on the spot on the capacity to negotiate the – some long-term contracts with some customers. In total, we have been quiet patient in order to maintain a certain policy not to make any denting. And by the way, because, we are today managing the large portfolio, we can exit also to take part of the risk in our portfolio. And you’ve seen that the cash flow from operations from iGRP is almost double, I think, in the last – compared to last year. And this is largely due to the exceptional job being done by the LNG trading teams. We begin to really see the impact on our cash flow generation of being – a team being in charge of a much larger portfolio. It’s now double, it plus 77%, which is quite impressive. And it’s link to the capacity to move around the world with more volumes, not only by the way the long-term contracts, but also some spot volumes, which are generating $0.20, $0.30 per million BTU additional revenue. So I think, my answer to this volatility in the price in the LNG market, it’s clearly that being able to have a large portfolio and to absorb the various – the volatility is the best way also to benefit from it. So it’s not only, I would say, producing business, it’s also a trading business and a logistical business, and a business to customer. So we are well positioned for facing the volatility.
Alastair Syme: Okay. Good. Can I just wrap up by wishing P2 all the best in his retirement? Thank you very much.
Patrick de La Chevardière: Thank you.
Operator: The line of Michele Della Vigna from Goldman Sachs is open.
Michele Della Vigna: Thank you for taking my question. And thank you, Patrick for all your help over the years. Two questions, if I may. The first one, when I look at your P&L, the associates line has been a bit of a drag in the first half of this year, down about 30%, while EBIT was pretty much flat year-on-year. I was wondering, what were the key drivers there. And whether we could expect some of this to reverse in the second half as Ichthys and Yamal continue to ramp up? And secondly, on Mozambique, I was wondering what kind of accounting you will want to use there. I think, some of the companies there are using proportional consolidation for Upstream, but associate for Downstream. I was wondering if you would go for the same methodology. Thank you.
Patrick de La Chevardière: Yes. Let’s try to answer on the equity affiliate. It is true that net operating income on the equity affiliate is below last year. But this is basically due to the weaker gas price. We started, this is true, so a few projects like Ichthys or Yamal, but the gas price effect, you see it on the equity affiliate. That’s the main reason.
Patrick Pouyanné: Yeah. Most of the equity affiliates are energy affiliates, in fact. And I think, it’s giving you and then to as the way we generally accounting method. Okay, we need to – it’s linked also to the way the financing package will be structured. So we – honestly, at this stage, we have spent some time to understand the project itself, financing package. We have not been involved, and we could not for, obviously, a good reason. We are today, we just buy an option. So there we have not been involved in any way with, I would say, the ECAs and the final stakeholders of financing package from Mozambique. This could take time, because we will look at it, and obviously the way this will be structured could influence the accounting method. So I think it’s a – there is a link. So today, we don’t have any position. The way we structured, we generally account LNG – it for the equity affiliates, but we have to link, but the related link. So we’ll have work to be done in the future months, after we are clearly [Technical Difficulty]
Michele Della Vigna: …philosophical question as we move into the September events. When you think about CapEx, it seems to me there’s two schools of thought, there’s those that say that they want to fund every single good project that makes money or it makes a good return in the portfolio and those that apply a top-down sort of maximum amount of spending in the sort of spirit to capital discipline. So when you come to think about CapEx, and sort of medium to longer-term CapEx, which school of thought, do you belong to? Thanks.
Patrick Pouyanné: First, let me call, the guidance I gave you $16 billion to $18 million of CapEx. From 2019 to 2023, it’s taking into accounts, the development of most of the projects, we – you have mentioned. So we have the capacity to take them onboard. And you know why fundamentally, it’s because of the capital discipline, but we had from $16 billion to $18 billion. We’re spending a lot of money on projects, which were sanctioned before the project. We did not sanction a lot of projects, because we were not in a position to add CapEx in the program to keeps a discipline with strong balance sheet. And so in fact, today we can absorb this additional, these new projects by keeping a guideline, which honestly, we’re on $15 billion, $17 billion, we move to $16 billion, $18 billion. So we are – we keep the discipline. Why do we keep the discipline and it’s linked to your philosophical questions? On my side, I consider that I’m more on the school, but we should not finance all the projects, we should keep a discipline, because it’s sort of global balance sheet and it’s not only CapEx, of course, we want to develop the company, but it’s a mix between the CapEx, the investments, return to shareholders, the giving and finding the right combination. I think, we historically have done the other way from 2018 to 2014, this is in the impact in particular on the profitability, because the massive capital employed has grown a lot. So today trying to manage this massive capital employed, it’s very important as well. So I think, we try to find a way to – between, I would say, creating more value, but also being strong and creating value means for me having a better profitability on capital employed. So this is the right combination. So if we – I gave you a new guidance of $16 billion, $18 billion for the next four to five years, because we are willing to maintain this guidance.
Michele Della Vigna: That’s clear. Thank you.
Operator: The line of Christopher Kuplent from Bank of America is open.
Christopher Kuplent: Thank you very much. And P2, Mercy [ph] interrupt your recovery from whatever made you so tired. I hope it wasn’t us. And quick question for you, P1, and then one for P3. Your 40% payout ratio, which is effectively giving us on CFFO at $60 Brent. Do you have a view on how much should come from absolute dividend payments, when you talk about dividend should continue to grow? Should they only grow on a DPS basis? Or do you actually, I think, it’s a good thing to increase your $8 billion roughly annual dividend cost and any further thoughts you have in terms of prioritizing returning cash back to shareholders via buybacks versus dividends would be helpful? And P3, the quest goes on. Net working capital only seems to work in one direction, I wonder, whether you can give us a little more detail on your introductory remarks, how it could actually release a little bit of cash into the second half? Thank you.
Patrick Pouyanné: I will not give you the full detail of your spreadsheet to allocate everything. I mean, let be clear, I think, I’ve been clear in my answer. I told you, but we want to have a competitive return to shareholders. As Patrick said, we have the objective, but we have a strong feeling, but if we hedged into 30%, we are very competitive compared to this. I also said that dividends are clearly when I discuss with our investors their priority. So we will continue to grow the dividend. And it might – yes, it will probably be in terms of absolute value, we spend a little more for dividends. Of course, when you make buybacks you eliminate some shares. But at the end, my priority would be dividend in order to return to shareholders. I will not go more in detail, because then it’s a decision which is taken by the Board of Directors about these various ways to do it. The second question – I think first, second, Chris, thank you to have find a new nick name for Jean-Pierre. So definitely it will be P3. It’s not Patrick, it’s Pierre, but it’s not far. So P1 and P3, it’s good Patrick, you have a new – we will not call in P2 junior, because we are in France, but P3. So P3 will you give some – will explain you how we will eliminate with working capital burden like we’ve done last year. We have some seasonal effects, but I leave the floor to P3.
Jean-Pierre Gerard Claude Sbraire: So that’s good that we have increased the working capital this quarter. It was the case during the first quarter. We will work on the working capital. As P1 explained to you, we demonstrated in the past that we are able by year-end to decrease the working capital. We will give clear guidance in particular to our trading to reduce the working capital. And so, I think I’m quite confident that we will restore the working capital by year-end.
Patrick Pouyanné: Yeah, you have some inventories effect and things like that. But it’s not we have the discipline internally to know, but we have some seasonal effect. And then we come back on this figure, on the right figure by the end of the year.
Christopher Kuplent: Okay. Thank you.
Patrick Pouyanné: What else? Next question?
Operator: The line of Bertrand Hodee from Kepler Cheuvreux is open.
Bertrand Hodee: Good afternoon. Two questions if I may. The first one on the LNG market, going forward, there is a lot of projects that are getting close to sanction. And you have a lot on your plate, Cameron extension IV, V, and Engie 27, PNG. You could participate also in Driftwood, Costa Azul, Russia Arctic 2 is being – almost FID plus to Mozambique. Do you believe [indiscernible] do you believe that the market could absorb that and that we are not running the risk by 2024, 2025 to be in oversupply again like we are today? And the second question, more I would say data points, when do you expect Icthys LNG, Kaombo Sul and Nigeria Egina to reach plateau? Thank you.
Patrick Pouyanné: No, we have some. Yeah, we are involved in projects, many projects. There are some which are very near sanction like Arctic 2, like Mozambique has been taken. There are some others like we speak about Driftwood, where today there is no date on the paper. It’s more options we have in our portfolios. Honestly, on Cameron LNG, which we mentioned as well, today’s priority is more to start the 22 and 23 next year rather than preparing to sanction on 24 and 25, even if, obviously, it will be I would say some priorities. So as I said previously, I think the LNG market, again, there is quite a large roof. We observed not only China, India is buying more and more LNG. Of course, it’s linked to the price, so it’s back to what assumption do we take when we sanction a project. And we are cautious. We take assumptions, which are linked, I would say, to a $50 per barrel world. We don’t take assumptions linked to a high price of gas. So that’s the way to be cautious about it. This market by the way, you have the feeling today, oversupply. Last year, it was considered undersupply. You know you have the weather effects, which is quite important. And according to all our analysis, by 2022, 2023, there will be a lack of supply in this market. So we expect on the contrary to see again prices moving up in future years. By 2024, 2025, yes, there are today many projects around the world. The way to arbitrate the project for me is purely based on the cost-merit curve. Our criteria is that to be sure we don’t want to invest in projects which are, I would say, third or fourth quartile in cost-merit curve. So if our project independently returns is – I mean, in competitive in – is competitive from a cost curve, which means there more competitive than other projects around the world, then we move on and we invest. And this is the common characteristics to the projects in which we want to invest in future years.
Patrick de La Chevardière: Okay, for the plateau, Egina and Icthys are at plateau. And Kaombo, plateau is scheduled on Q3 and currently producing 200,000 barrels per day, Sul plus Norte.
Bertrand Hodee: Thank you very much, P2 and all the best for the future.
Operator: The line of Jason Gabelman from Cowen is now open.
Jason Gabelman: Yeah, thanks for taking the question. I just wanted to clarify the free cash flow guidance you gave for the Mozambique project. Is that including interest and post-tax? And if not, can you please provide what that number is? And then, secondly, just on Mozambique, what are the – or do you guys have concerns there with regards to security and are you taking any measures to shore up your security around the project site? Thanks.
Patrick Pouyanné: Okay. The guidance I gave in terms of free cash was for the portfolio of the free African assets, Algeria plus Mozambique plus Ghana. It was not only – and obviously, it was a guidance in net cash flow, so after tax and interest, that’s clear. Second question, security, yes, we have, of course, made a full due diligence on it. And security of our people is the highest priority in our company. We are – and the situation there is – we know, but it’s – we have to take it seriously. I think we have ways to manage it, like we done in our countries. It’s one area. By the way, somebody mentioned to me are you ready to corporate with Exxon. I answered yes. And obviously, on security, actually we share the same values together with Exxon and the same ways to tackle this type of situation. Say, in Africa, we have some operations in Angola, in Nigeria and elsewhere. So we obviously will put the level of investments which is required to ensure the security for all the people who will work onshore Mozambique, but a clear priority.
Operator: The line of Henry Tarr from Berenberg is open.
Henry Tarr: Hi, there. Thanks for that. I think most of my questions have been answered. But just very quickly, on the Toshiba LNG acquisition, it looks a bit like a sort of directional bid on LNG pricing. Would you characterize in this way or do you see it a bit differently? And then, secondly, just on the gearing target, how much of a constraint is it? So if the right opportunity comes along, would you go above that target near-term or do you think – you talked about the sort of counter-cyclical M&A strategy? You’re probably now more likely sellers than buyers of E&P assets looking forward. Thanks.
Patrick Pouyanné: Toshiba was – honestly, I think it’s just a matter of very different situation for both companies. Toshiba is not really involved in the LNG business. It’s not an energy company. They have by the way other businesses where we have difficulties. So I think they were – they decided to sell to – which was considered and then – their border has high risk. Honestly, from us we are a big player in LNG. I think on the – in our portfolio, additional 2 million tons of LNG in the U.S. on the standard pricing, does not afraid us. We have that. But getting the benefit of the $800 million, if you divide $800 million by 2.2 million tons over the number of years, you will discover. But in fact it allows us to have access to LNG from the U.S. at a super-competitive price. So I think it’s really a different approach of the risk of the LNG market. We are a strong LNG player. Toshiba was not and has decided to exit. And so, we were agile enough to take this deal. And I’m quite happy, but my teams were able to convince Toshiba. Thanks by the way to the strong balance sheet of Total. But we could close the deal and receive $800 million for this 2 million tons. So I think it’s a pure risk management approach and different – in fact, it’s a core business to us. It was not to them. Gearing, no, for me this target is really a clear target. It’s more than a target. I strongly believe that a business model of an oil and gas company facing the volatility of the market require to be stringent on the gearing level. We said this 20%. I was maybe not convinced in 2014, but the events convinced me quickly. But we were by that time above 30%. And we made a lot of efforts. And so, we have used part of the, I would say, flexibility we had on the gearing. We got 15, we have used it. Anadarko will represent 4%. So that means clearly that you will not see Total will make a pose in this type of deals as – because the gearing is for me an important target. And we will do – I will come back another 20% as quick as we can. And so, we – which was a question by the way to us in the Board level, I can tell you. Okay, we have a good opportunity for Anadarko. But if we do this one, we use part of our flexibility. So if we use this one, we will not have the flexibility for another one. And as I don’t see a better deal to be done for coming years, we decided to do this one.
Henry Tarr: Great. Thanks.
Operator: The line of Jason Kenney from Santander is open.
Jason Kenney: Good afternoon. P2, thanks very much for your support. JP, all the best for the coming future and, P1, thanks for your input today. I had a question for P2 probably. I think you said in a previous call, there was no bump expected for the IMO to support second half 2019 or 2020. I just wondered, a quarter on, if you were seeing any potential support from IMO dynamics. And if so, that was – if that was confirming your belief and refining margin assumptions, second half 2019, 2020.
Patrick de La Chevardière: The answer is yes.
Patrick Pouyanné: So I think the – I think wants to conclude. And, yes, sometimes concluding at the end. So I did not attend a lot of calls, but I understand, but sometimes the last call of July, before holidays, Patrick has one priority, which was to go to holiday. Today, he wanted to go to retire. No, but I think, yes, the answer, probably the IMO will be a support to refining margins. It’s difficult to appreciate how much we have already explained many times. But let’s look to the market and we’ll benefit. But we are in a good position. We have organized a company in order to take benefit from the IMO threshold. But just it came, yeah, as I was speaking to Joel, the opportunity, I think that was normal call if I understand. So you are, Jason, the last one. Thank you. I think I would like first to thank all of you for all your questions. I think – I hope you have gotten a bit of clarity about the business case of the company and the logic of this Anadarko deal, but also, always being supported by the strong results. And I know we don’t make headlines, because we continue just to be – to reach all the consensus quarter after quarter. Even if this quarter, we have been better on cash flows, which for me is really the nerve of the war. It’s because we have more cash flows that we can envisage to continue to develop the company and high grade the return to shareholders. I would like to thank you again, Patrick, for the outstanding contribution to Total during his 12 years as CFO. And to pay tribute to Patrick and to demonstrate to Jean, which sent me a sort of joke yesterday. But, yes, they are definitely bold people at the helm of Total. Now, it is time to say vroom, vroom. Have good holidays all of you.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.